Operator: Greetings and welcome to Union Pacific Second Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded and the slides for today's presentation are available on Union Pacific's website. It is now my pleasure to introduce your host, Mr. Lance Fritz, Chairman, President, and CEO for Union Pacific. Mr. Fritz, you may begin.
Lance Fritz: Thank you. And good morning everybody and welcome to Union Pacific's second quarter earnings conference call. With me here today in Omaha are Beth Whited, Chief Marketing Officer; Cameron Scott, Chief Operating Officer; and Rob Knight, our Chief Financial Officer. This morning, Union Pacific is reporting net income of nearly $1.2 billion for the second quarter of 2017. This equates to a second quarter record $1.45 per share, which is up 24% over last year. Total volume increased 5% in the quarter compared to 2016. Carload volume increased in four of our six commodity groups, led by a 17% increase in Coal and a 15% increase in Industrial Products. The quarterly operating ratio came in at 61.8%, which was a record for the second quarter and is a 3.4 percentage point improvement over the second quarter of 2016. In addition to the increase in volume, positive core pricing, and solid productivity were key drivers of the margin improvement. Guided by our strategic value tracks, our entire team is focused on providing an excellent customer experience while safely and efficiently delivering on our innovative productivity initiatives. I'm pleased with our results through the first six months and look forward to continuing our momentum through the remainder of the year. Our team is going to give you more of the details on the second quarter, starting with Beth.
Beth Whited: Thank you, Lance and good morning. In the second quarter, our volume was up 5%, driven primarily by Coal and Industrial Products with offsets in Automotive and Chemicals. We generated positive net core pricing of 1.5% in the quarter with continued energy related and intermodal pricing pressure. Despite these challenges, we remain committed to achieving core pricing gains that offset inflation and align with our value proposition. The increase in volume and a 6% improvement in average revenue per car drove an 11% increase in freight revenue. Let's take a closer look at the performance of each of our six business groups. Ag Products revenue gained 7% on both the 3% volume and average revenue per car increase. Grain carloads increased 11% with continued strength in wheat exports, driven primarily by shipments to the Gulf and Mexico. Domestic corn volumes were up 5% from increased Midwest processor business and strength in the Mid-South poultry market. Grain products carloads were down 3%, primarily due to a reduction of soybean oil shipments resulting from soft biodiesel production. Partially offsetting lower volumes were higher ethanol shipments, driven by strong export demand to Brazil and China. Food and Refrigerated volumes were up 3%, driven by continued strength in sugar shipments as well as support from a healthy summer demand associated with the brewers and beverage market. Looking at the rest of the year, high global production of both seed grains and wheat, coupled with a lower quality domestic wheat harvest will create headwinds in our export markets. As always, we're keeping a close eye on the weather to see what the domestic corn and soybean crop will yield. We expect Food and Refrigerated shipments to grow from our cold connect service, sustained strength in sugar, and import beer trending with consumer demand. Automotive revenue was up 5% in the quarter on a 1% increase in volume and a 6% increase in average revenue per car. Finished vehicle shipments decreased 4%, primarily as a result of softer vehicle sales leading to reduced production and shifting product mix. These changes were partially offset by new West Coast import traffic and Mexico production growth. The seasonally adjusted average rate of sales was 16.6 million vehicles in the second quarter, down 3% from second quarter 2016. On the parts side, over-the-road conversions and growth in light truck demand drove a 2% increase in volume. The U.S. light vehicle sales forecast for full year 2017 is 17.1 million units, down 2% from the 2016 record rate of 17.5 million. We remain cautious with respect to auto sales due to current sales trend, higher inventory, and rising interest rates. The reduced SAR will impact both the finished vehicles and parts with a potential upset in over-the-road conversion opportunities. Chemicals revenue was up 4% for the quarter on a 2% decrease on volume and 6% increase in average revenue per car. Petroleum and LPG shipments declined 20% as we continue to see headwinds on crude oil shipments which were down 84% to about 2,200 carloads in the quarter due to the lower crude oil prices and available pipeline capacity. Chemical volumes, excluding crude oil was up 2% in the quarter. Plastics carloads were up 6% due to low commodity prices, which drove increased polyethylene and PVC shipments. Fertilizer was up 13%, driven by increased potash exports. For the second half of 2017, our Chemicals franchise is expected to remain stable. Strength is anticipated in plastics with new facilities and expansions coming online. Coal revenue increased 25% for the quarter on a 17% increase in volume and 7% improvement in average revenue per car. On a tonnage basis, Powder River Basin and other regions were both up 17% from higher natural gas prices and stronger West Coast exports, which benefited from favorable global economics for Western U.S. coal. Overall, coal stockpiles were down in the quarter and are now below the five-year average. Looking forward to the second half of the year, Coal volumes will face tougher year-over-year comps, but we expect absolute volumes to be sustained sequentially if natural gas prices and export demand are maintained. As always, weather conditions will be a key factor of demand. Industrial Products revenue was up 24% on a 15% increase in volume and an 8% increase in average revenue per car during the quarter. Minerals volume increased 73% in the quarter, driven by a 128% increase in sand shipments due to improving well completion and increased proppant intensity per well. Specialized markets volume increased 20% in the quarter, driven by a 29% increase in waste shipments due to West Coast remediation projects. Looking forward, we anticipate frac sands volumes to stay strong, although new in-basin brown sand mines might temper the upside. We see growth in military and wind shipments with an offset in roofing and cement volumes due to year-over-year comps associated with weather-related reconstruction and changing market dynamics. Intermodal revenue was up 3% on a 2% increase in volume and a 1% increase in average revenue per car. Domestic volume grew 2% in the quarter, driven by parcel growth as well as improved truckload market demand in the last half of the quarter. International volume was up 2% in the quarter from stronger west bound shipments and inventory restocking. Looking forward, we expect international Intermodal volumes will continue to be impacted by an ever-changing global supply chain. For the domestic market, implementation of electronic logbook will provide opportunities for additional over-the-road conversions. To wrap-up, this slide recaps our outlook for the remainder of 2017 mentioned in the previous slide. Over-the-road conversions will continue to present opportunities for growth. We also anticipate continued progress in our plastics and Food and Refrigerated markets. Our diverse franchise remains well-positioned for growth this year as the U.S. economy continues to build momentum in the face of a number of uncertainties in the worldwide economy. Our team remains fully committed to developing new business opportunities and strengthening our overall customer value proposition. With that, I'll turn it over to Cameron for an update on our operating performance.
Cameron Scott: Thanks Beth and good morning. Starting with safety performance, our reportable personnel injury rate increased to 0.76 versus the first half record of 0.70 achieved in 2016. The team remains fully committed to finding and addressing risks in the workplace and I am confident in our efforts as we push towards our goal of zero incidents. With regards to rail equipment incidents or derailments, our reportable rate improved 4% to 3.01. While TE&Y training and infrastructure investments continue to be key pieces of our derailment prevention strategy, advanced data analytics will help us make even greater strides towards identifying and mitigating risks. In public safety, our grade crossing incident rate improved 5% versus 2016 to 2.27 as our grade crossing assessment process in collaboration with the public continues yielding positive results. Moving on to network performance. Our network performance fell short during the second quarter, which is reflected in the metrics we report each week to the AAR. Second quarter velocity was down 5% and freight car well was up 4% when compared to 2016. Severe spring weather across our served territory along with several service interruptions and outages were the primary drivers of a decline in service metrics. Looking at our resources, although our TE&Y workforce was up in about 500 employees in the second quarter while compared to the same period in 2016, we were able to effectively leverage the robust 5% increase in volume with numerous productivity initiatives we have underway. Partially offsetting some of this productivity, however, was an increase in workforce to help manage the network disruptions and outages I mentioned earlier. In addition, our engineering and mechanical workforce was down more than 1,000 employees, driven primarily by fewer employees required on capital projects as a result of the productivity initiatives we have implemented. All-in, our total operating workforce was down almost 600 employees in the quarter or 2% when compared to last year. As always, we continue to adjust our resources as volume and network performance dictate. In addition to being agile with our resource base, the team's persistent focus on productivity continues yielding positive results in other areas such as train size. An example of our relentless focus on productivity is how we have achieved best-ever train size in our manifest trains category for eight straight quarters. Our team uses data analytics to dynamically adjust our service schedules to maximize train length while balancing our customer commitments. We were also able to generate productivity gains within our terminals as cars switch per employee day increased 5% during the second quarter. Overall, I'm pleased with the productivity we've been able to realize thus far and I'm looking forward to further improvement as we move forward. To wrap-up, as we move into the back half of the year, we expect our safety strategy will continue to generate positive results on our way to incident-free environment and we will continue leveraging the strength of our franchise to improve operational performance with a focus on productivity and providing an excellent customer experience. With that, I'll turn it over to Rob.
Rob Knight Jr.: Thanks and good morning. Let's start with a recap of our second quarter results. Operating revenue was about $5.3 billion in the quarter, up 10% versus last year. Higher volumes, an increase in fuel surcharges and positive core price all contributed to the increase in revenue for the quarter. Operating expenses totaled $3.2 billion, up 4% from 2016. The increase in fuel cost represented a majority of the increase to the operating expense in the quarter. Operating income totaled $2 billion, a 21% increase from last year. Below the line, other income totaled $43 million, down from about $77 million in 2016, which included a $50 million real estate gain that we reported last year. Interest expense of $179 million was up 3% compared to the previous year. The increase was driven by additional debt issuance over the last 12 months. Income tax expense increased 20% to $701 million, driven primarily by higher pretax earnings. Net income totaled almost $1.2 billion, up 19% versus last year; while the outstanding share balance declined 4% as a result of our continued share repurchase activity. These results combined to produce a record second quarter earnings per share of $1.45. The operating ratio was 61.8%, a 3.4 percentage point improvement from the second quarter last year. The combined impact of fuel price and the surcharge lag benefit drove a 0.5 point improvement to the operating ratio and a $0.06 tailwind to earnings per share in the second quarter versus last year. Turning now to the topline, freight revenue of $4.9 billion was up 11% versus last year, driven by a 5% increase in volume, along with positive core pricing. Fuel surcharge revenue totaled $234 million, up $147 million when compared to 2016, and up about $22 million from the first quarter of this year. The business mix impact on freight revenue in the second quarter was a positive 1%. The primary drivers of this positive mix were year-over-year growth in frac sand shipments and grain carloadings, partially offset by the increase in Intermodal volumes. Core price improved to 1.5%. While we have experienced an uptick in pricing as expected, we do caution that we are continuing to see competitive pressures in our Coal and Intermodal businesses. Excluding Coal and Intermodal, pricing in our other business lines was in the 2% to 3% range for the quarter. For the full year, we continue to be on track with our pricing initiatives to generate a revenue benefit that exceeds our rail inflation cost. Turning now to the operating expense, slide 21 provides a summary of our operating expenses for the quarter. Compensation and benefits expense increased 3% versus 2016. The increase was primarily driven by a combination of higher wage and benefit inflation along with higher volume. We still expect full year labor inflation to be about 5%; partially offsetting higher volumes were solid productivity gains and a smaller capital workforce, resulting in total workforce level declining 2% in the quarter versus last year or about 800 employees. Fuel expense totaled $434 million, up 25% when compared to last year. Higher diesel fuel prices and a 10% increase in gross ton-miles drove the increase in fuel expense in the quarter. Compared to the second quarter last year, our fuel consumption rate improved 3% while our average fuel price increased 17% to $1.69 per gallon. Purchase services and materials expense increased 5% to $597 million. The increase was primarily driven by volume-related costs, partially offset by lower joint facility expenses. Turning now to slide 22, depreciation expense was $525 million, up 4% compared to 2016. For the full year 2017, we estimate that depreciation expense will increase around 4% to 5%. The increase is primarily driven by higher depreciation asset base, including our positive train control assets put in place to-date. We estimate that depreciation on PTC assets will be approximately $130 million in 2017, increasing to around $150 million in the out years, post implementation. And with respect to PTC, in addition to depreciation expense, as we've previously mentioned, we expect the remaining expense line items to increase about $150 million to $200 million annually once PTC is fully implemented. Moving to equipment and other rents, this expense totaled $273 million in the quarter, which is down 5% when compared to 2016. Lower locomotive and freight car lease expense and mix of traffic were the primary drivers for the reduction. Other expenses came in at $219 million, down 10% versus last year. Lower environmental, personal injury and other costs were partially offset by higher state and local taxes. For 2017, we would expect other expense to increase slightly excluding any unusual items. Looking at our cash flow, cash them operations for the first half of the year totaled about $3.5 billion, down 2% when compared to last year. The decrease in cash was primarily related to a lower bonus depreciation benefit, which more than offset the increase in net income. Taking a look at adjusted debt levels, the all-in adjusted debt balance totaled about $18.4 billion at quarter end. We finished the second quarter with an adjusted debt to EBITDA ratio of around 1.9 times, which is close to our target ratio of just under two times. Dividend payments for the first half totaled $980 million, up from $925 million last year. In addition to dividends, we also bought back around 15.3 million shares, totaling over $1.6 million in the first half, an increase of around 26% over last year in terms of dollars spent. And since initiating share repurchases in 2007, we have repurchased over 30% of our outstanding shares. In between our dividend payments and our share repurchases, we returned about $2.6 billion to our shareholders through the first half, which represented about 118% of our first half net income. On the productivity side, our G55 + 0 initiatives yielded around $110 million of productivity in the quarter. This is an improvement over the $90 million that we achieved in the first quarter and brings our first half total to around $200 million. This benefit was realized across three major categories. The first is network and train operations. This includes things like increase in train length and reducing recrews and other TE&Y expenses. The second category is equipment. This includes efforts such as using fewer locomotives and freight cars resulting reduced equipment maintenance cost. And the third category consist of support, supply, and safety where there are multiple opportunities ranging from improving fuel efficiency to reducing purchasing and other administrative expenses. With these results, we continue to progress, as expected and we are on track to meet our $350 million to $450 million productivity goal for the full year. Looking forward, we still expect full year carloading growth to be up in the low single-digit range. Third quarter carloads should strengthen somewhat from the second quarter, although they will likely be closer to flat year-over-year given the more difficult 2016 comparisons and this is particularly true for Coal. I also want to mention a couple of one-time items that will impact the third quarter. First, we will see a one-time increase in tax expense totaling about $0.04 of earnings per share to reflect a recent increase in the Illinois state income tax rate. And on the plus side, we will receive a settlement totaling approximately $0.05 earnings per share as a resolution of an ongoing litigation matter. This amount will be recognized as other income below the line. With positive full year volume, positive core price and significant productivity benefits, we are on track to improve our full year operating ratio. In longer term, we are intently focused on achieving our targeted 60% plus or minus operating ratio on a full year basis by 2019. And we remain committed to reaching our goal of a 55 operating ratio beyond 2019 as we continue the momentum of our volume, pricing, and productivity initiatives. So, with that, I'll turn it back over to Lance.
Lance Fritz: Thank you, Rob. Looking at the second half of the year, we expect uncertainty in some economic sectors and continued strength in others. Overall, as Rob mentioned, absolute basis volume should be stronger in the second half than in the first half, although year-over-year comparisons are going to be more challenging. In this environment, we will focus on our growth opportunities. In addition, we'll continue to make progress on our G55 + 0 initiatives as we work to make Union Pacific a stronger, more efficient company. We are confident these efforts will generate topline growth, margin improvement, and greater returns for our shareholders. With that, let's open up the line for your questions.
Operator: Thank you. We'll now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Scott Group with Wolfe Research. Please proceed with your question.
Scott Group: Hey, thanks. Good morning guys.
Lance Fritz: Good morning.
Scott Group: So, wanted to just clarify some of the comments on Coal being flat sequentially. Are you saying that the third quarter average is going to be the same as second quarter? Because we've never seen that, so I just -- I'm not sure I follow what you're trying to say.
Beth Whited: No, we weren't saying that. Sorry if that was misinterpreted. Now, we would expect third quarter to follow a traditional pattern and be up sequentially, but relatively flat for last year.
Scott Group: Okay, flat on a year-over-year, okay that makes a lot more sense. Okay. And then Rob, just for you on the pricing side, I know it's not an area where you typically like to forecast specific numbers. But maybe just some insights -- we saw a tick up a little bit this quarter. Do you think that -- is it reasonable to expect that trend of kind of rebound continues into the back half of the year just given the better volume environment or tough to have visibility to that at this point?
Rob Knight Jr.: Scott, we're going to continue to price-to-market and drive as positive price as we possibly can. And as you know, we're going to stay away from giving a specific pricing number other than to reiterate that we expect to yield above inflation dollars. But we also pointed out -- Beth and I both did, that we continue to face pressures in the Coal and Intermodal groups. So, we'll see how all that plays out.
Scott Group: And just given the better volume environment, does the market -- I understand the competitive comments, does the broader markets feel like it's a better from a pricing standpoint just given you've had a few quarters now volume growth or you're not ready to say that.
Beth Whited: I would say that there are a lot of competitive factors going on out there on the plus side. We are seeing truck prices just beginning to firm and that gives us some hope that that will continue throughout the rest of the year, especially with ELDs coming online. But the other competitive factors that we see in Coal and Intermodal aren't easy. So, you just kind of have to make your own production about what you think might happen.
Scott Group: May I ask just a quick follow-up, how about in just grain with grain prices going up, how does that impact you grain tariffs going forward?
Beth Whited: Well, let me see how to answer that. I would say that we certainly want to price and get value in the market at every opportunity. Grain prices going up will, hopefully, bring more volume to us and provide us with a revenue opportunity and we'll just have to see how the pricing opportunities play out from that.
Scott Group: Okay. Thank you, guys.
Operator: Next question is coming from the line of Ken Hoexter with Merrill Lynch. Please proceed with your question.
Ken Hoexter: Great. Good morning. Just following-up on the pricing side, on the increased Coal pricing you're talking about. Are there major contracts up for bid that you're seeing this get more intense? Is this more a commentary on a shift of export coal? Just want to see as given that you easy comps that you had now started a little tougher, I want to see where that's heading towards.
Beth Whited: Are you asking a volume or a price question?
Ken Hoexter: Its price but I want to understand what's leading into that price competition. Is it that you're seeing more new -- or more of bids going on right now, major bids that what you're seeing competitor step up. Is it because of the export side? I just want to understand where you're seeing the pricing competition?
Beth Whited: I think that we continue to see competition kind of across the book of business. But we aren't at any sort of unusual level of contract negotiation during this period. It's just kind of -- when you think about our whole base and the contracts that we negotiate overtime as we are renegotiating contracts that market -- it's still very competitive.
Ken Hoexter: Yes. And nothing on the export? Is that--?
Beth Whited: No, the export business, as you know for us, is relatively smaller.
Ken Hoexter: Still smaller.
Beth Whited: We have had some nice opportunities, but that's not as -- I mean, it's certainly still competitive, but that's not where we're seeing the most pressure.
Ken Hoexter: Great. And then for a follow-up. Great detail Rob on the productivity initiatives that you provided here. Is this -- when you look at the equipment side and the like, is that -- do you see the locomotives -- are you increasing them out that you're parking is part of the productivity and the cars can you talk a little bit about kind of where that stands. You've given those numbers in the past.
Lance Fritz: Yes, let's let Cameron address that.
Cameron Scott: Several years ago, we started initiative in our low horsepower fleet and that initiative net to about 500 locomotives we'd put in storage. Some of those have been sold. Some of those releases that we returned. We've turned that same group of employees towards our high horsepower fleet. And I don't think we'll achieve quite 500, but there's plenty of opportunity for us to rationalize what we're doing with our high horsepower fleet.
Lance Fritz: I want to say Cameron is referencing there from this point forward. He's already got what is in the neighborhood of 1,000 high horsepower locomotive in storage as we speak.
Ken Hoexter: Great. Thank you very much for the thoughts.
Operator: Our next question is from the line of Brian Ossenbeck with JPMorgan. Please proceed with your question.
Brian Ossenbeck: Hey, good morning everyone. Thanks for taking my question. So, just a follow-up on the positive train control comments. Rob, that's very helpful to give us more details. I was wondering if you could just clarify one thing, are those costs included in your long-term OR guidance, I assume they are, but I just want to confirm. And then we hear a lot about the cost, what are some of the benefits maybe, Cam, you think could come out of the system when it's fully operational?
Rob Knight Jr.: Yes, let me quickly address the cost question, Brian. Yes, all of those costs are embedded in our targeted 60 OR by 2019 and 55 beyond. So, those are challenges that we have to overcome, but they're embedded in the thought process. And in terms of the benefits?
Lance Fritz: Cam?
Cameron Scott: We're implementing about 40% of our network at this point. And the technology is working very well. There will always be glitches and bugs that we need to upgrade. But so far, it's a very solid technology. As we get fully implemented, we'll be looking for every productivity and efficiency that we can squeeze out of that system. I don't have anything right now to report to you on that.
Lance Fritz: Giving you a little bit more techni-color [ph] -- this is Lance. The PTC foundation gives you an umbrella of communication capability because of what's required for PTC in and of itself. And it puts a lot of technology and computing power on to our locomotives that at some point could be used for other purposes in the future. It's important to note that it's not -- when we think about productivity from positive train control foundation, we're not talking about taking what already exist and somehow redeploying it in a way that's highly productive. Whatever we do is likely going to require an incremental either capital or operating expense investment. And we'll make those decision based on the returns that would be generated from whatever those projects are. So, it forms a foundation in your mind to think about that foundation as a robust umbrella of communication capability and computing power. And from that point forward, maybe that's a foundation we can use for the productivity.
Brian Ossenbeck: Okay, great. Thanks. That's very helpful. I'm just -- the timing I now we've got one year extensions possibly across the Board for the industry if you could just remind us when you -- what's the current prospect for going fully online, is that a 2020 event?
Lance Fritz: We're going to be fully implemented -- or installed and able to implement, that is turn on, on every mile that's required late in 2018. And in the way the law is written, if we're in that position, then we can basically request the Department of Transportation an extension to 2020, which we will do because we'll want to use that time to debug the system. While Cameron has mentioned that the system is operating and is functional and doing what it's intended to do, it still has bugs that rob us of precious capacity. And so we'll want to take those two years to continue to debug the system.
Brian Ossenbeck: Okay. And just one quick follow-up on the hiring front. [Indiscernible] almost the same percent as volume realize there is some perhaps one-time items in there. But just in general, Lance, can you tell us what you're seeing trends in hiring? There's some pretty great chunks of growth coming in the areas that might be a little bit more regionalized like perhaps like Coal, and flat to down in slightly other areas. So, how hard will you be finding it to get ahead of those recoveries and meet demand in kind of just-in-time with the training programs you have? And should we expect small furlough for the freight recession to really kind of rob you from some productivity as you probably might not get all the same people you have back, but maybe a little bit lower level of experience when you do start to hire again.
Lance Fritz: Brian, let's unpack that in three pieces. The first piece is, your right. With TE&Y headcount up 4% in the second quarter versus volume up 5%, that's not quite the kind of productivity we would expect. I think that's accountable to the weather and service related interruptions and a little bit more sluggish network as Cameron pointed out. And he and his team is working diligently to get that back. The second point that you were asking about was overall hiring and what's going on in that world. Recall, we came into the year with a fair number of TE&Y employees on furlough. So, the first thing we do is we call them back from furlough or from their alternative work and training board service. We've been doing that and we've also in certain pockets, had to go out and start up a hiring class. That's a relatively small amount in comparison to the amount of employees that we're bringing back on furlough. And in terms of are we able to find employees when we do need to hire, the answer is yes. And the TE&Y craft, we have very attractive jobs and in the areas where we want to hire with maybe one or two very specific exceptions, we can find employees that we need.
Brian Ossenbeck: Okay, great. Thanks a lot for all the detail. Appreciate it.
Lance Fritz: Yes.
Operator: Next question is from the line of David Vernon with Sanford Bernstein. Please proceed with your question.
David Vernon: Hey, good morning. Cameron question for you on the productivity side. You mentioned there were some network disruptions that added to the incremental headcount. And I'm just wondering if you kind the mentioned that for us? And then also speak to the ability to kind of keep pushing forward with some of these train length initiatives and your productivity initiatives as volume growth moderates in the back half of the year?
Cameron Scott: I'll start with train size. Our team, as we mentioned, during eight straight quarters, has demonstrated a capability to find additional opportunities on train size while meeting customer commitments. And there is, as I mentioned before, still plenty of headroom in almost every train category in our business, with the exception of Coal. So, there is still a lot of opportunity ahead of us on productivity with train size. In relation to some of the outages, probably the best example I can give you was an unfortunate barge strike to one of our key network lanes in Louisiana. We've been out for seven weeks now rebuilding that bridge. That has caused us to wheel our transportation plan around that outage, adding costs, adding locomotives, adding employees that were not intended as we started the year. We should get that key route back in service here in the next week and that will normalize not only our cost structure, but our customers will see a more solid service that they expect from us.
David Vernon: And in terms of sort of dimensioning that in terms of numbers around the extra heads or impact on earnings, is there any way for us to think about what it could have been here in the second quarter versus what it was because some of these one-time things? Or is it too small to try to adjust out?
Rob Knight Jr.: David, let me -- this is Rob, let me try to answer. I mean we're not going to break that out. I mean it's kind of in the mix and we admit it, as Lance indicated that ratio of the 4% versus the 5% volume, is not what we strive for. But exactly, what could have been is hard to put a fine point on.
David Vernon: Okay. And maybe this is a follow-up, Beth, with regards to ELDs, what are you hearing from your Intermodal partners on what kind of impact are expecting from this not only just in the U.S. implementation, but I also understand there's some speculation that the Mexican government may follow with an ELD set of guidelines in the 2018 as well.
Beth Whited: I don't have a comment on the Mexico piece. I haven't talked to anybody about that at this point. So, that will be a good follow-up for me. But I think everything you read says that they expect full ELD implementation to be kind of 3% to 5% sort of capacity impact. I think some people are skeptical about how well it will be enforced. And so you've got a range in there in terms of how much impact it will have. But certainly we're very optimistic that it's going to help drive some tightening in the truck market and consequential price increases with rate increases in trucks, which will give us an opportunity to convert more volume and hopefully, get some price of our own.
David Vernon: And we should start to see that in the back half of this year and in the next year or is there going to be a bigger lag?
Beth Whited: It feels like it's a pretty late in the fourth quarter event and more of a next year item.
David Vernon: Great. Thanks a lot for your time guys.
Lance Fritz: Thank you.
Operator: Our next question is from the line of Allison Landry with Credit Suisse. Please proceed with your question.
Allison Landry: Good morning. Thanks. So, frac sand has obviously seen strength in the last couple of quarters. So, I was hoping you could give us an indication of the mix of white and brown. And I guess more importantly, given some of the expectations for the Permian to be self-sufficient with local brown sand, how do we think about that with respect to your volumes and mix going forward?
Beth Whited: So, currently, we would say and you can read different people say different things that the Permian is roughly 15% brown and 85% white sand. And the demand this year, call it 28 million or 29 million tons. We see estimates going into next year where there are proposed mines that would bring on anywhere from 20 million to 40 million or 50 million tons and perhaps demand in the Permian being in that 40 million to 50 million tons. I'm not sure how quickly that will happen. We certainly feel good about Permian white sand this year. We're working on solution to try to be a well provider in the brown sand market as well and we do a fair amount of that today from other Texas location. I -- certainly it will swing away from white sand as a percentage over -- I think kind of quarter-by-quarter as we move into next year. We don't really have a prediction for what that looks like for us in 2018. But like I said, our focus will be on working to support the white sand guys that are continuing to shift and developing alternatives for the brown sand.
Allison Landry: Okay, got it. Thanks. And then if I could ask about the volume guidance, you obviously gave the expectations for flat year-over-year in Q3 and sort of implied a pretty wide range for the fourth quarter. So, I'm wondering if you can help us think through that and maybe handicap whether or not you think volumes could be up in the fourth quarter?
Rob Knight Jr.: Allison, this is Rob and we haven't given specific volume guidance in the fourth quarter. But so you're right, it could be a range. I mean we're hopeful that the economy would continue to move in the right direction and our third quarter, as I pointed out in my comments, while we envision that being kind of flattish year-over-year, we do see it sequentially growing from where we are today, where we finish in the second quarter. So, stay tuned in terms of how the world plays out in the fourth quarter.
Allison Landry: Okay, got it. Thank you.
Operator: Our next question is from the line of Jason Seidl with Colin & Company. Please proceed with your question.
Jason Seidl: Thank you, operator. Hey, good morning everyone. Two quick questions. Rob, I wanted to talk a little bit about your comments that we are aware the proper level for adjusted debt to EBITDA that you look at. How should we think about your cadence of share repurchases going forward? Is that going to slow a little bit or are you expecting to keep about the same pace?
Rob Knight Jr.: Well, Jason, as you know, we don't have a set number. We don't give specific guidance. We'll continue to be opportunistic in terms of the pace at which we buy, so I couldn't begin to give you exactly what that cadence will look like. Markets will dry. But I would just tell you that in terms of the focus that we have in the organization is driving more cash. I mean so as we look at the metric, while we're close to that targeted number, as I pointed out, we still have room to go in terms of generating positive cash in the business and that gives us the greatest opportunity to continue to move forward.
Jason Seidl: Okay. And I wanted to jump back on your Ag outlook a little bit. Talk about how exports in the quarter impact the arc. So, obviously, you don't talk about pricing, but let's just talk about the overall arc from the mix and what should we expect sequentially going forward about exports and how that would look against your arc in the third and fourth quarter?
Beth Whited: So, in the quarter, we did have strong grain exports shipments, especially with wheat. And obviously that's a longer length of haul almost all the time. We do see -- we did see some pretty low barge prices, so we did move a fair amount in the river. So, it impacts our arc positively, but maybe not as much historically has just because of the river move. As you move into the third and fourth quarter, you're going to see quite a bit less export grain, particularly in the third quarter because we had a really strong third quarter last year. And we're now going to be challenged by pretty strong global availability of grain in markets where they have a significant currency advantage. So, it'll -- I would say a negative arc impact versus last year in the third quarter. I don't have a [Indiscernible] for you.
Jason Seidl: Okay. So, Beth all things being equal, as you look to 3Q and 4Q and comp that versus 2Q likely going to be down compared to 2Q based on the mix?
Beth Whited: The arc, I don't know.
Jason Seidl: The arc.
Beth Whited: I'm sorry. I don't have a prediction of that for you. The volume -- yes, on the export side.
Jason Seidl: Okay. Thank you. Appreciate the time as always guys.
Operator: Our next question is from the line of Chris Wetherbee from Citigroup. Please proceed with your question.
Chris Wetherbee: Hey thanks. Good morning.
Lance Fritz: Good morning.
Chris Wetherbee: I wanted to talk about productivity a little bit and understand maybe the cadence for the back half of the year. So, you have $150 million to $200 million left to go. And in the first half, you sort of had a stronger performance and a better volume environment. I guess my question is, as you see sort of volume comps get a bit tougher there, what is that variability in cadence for the back half of the year do you think if 4Q doesn't turn out to be positive from a volume standpoint or you're more likely to be in the lower end of the guidance. I'm just trying to get some sensitivity around that for the second half.
Lance Fritz: Hi, Chris, this is Lance. I'll let Rob speak specifically to the guidance, which is $350 million to $400 million for the year. But in terms of the mechanics of the productivity, it's Cam and the team and the rest of the organization are constantly working the projects that we have in front of us right now. So, that Rob pointed out three big segments. In the transportation side, it's about train lengths and be more productive in switching and locals. It can be more productive in our engineering and mechanical workforces where we've got projects underway and candidly we've been very straightforward and saying I think we've got more opportunity to be more productive in our general administrative and support functions. So, you'll see us take action on all of those in the second half of the year.
Rob Knight Jr.: Yes. If I can, I would just add, Chris, that as you've heard us comment many times before we're not going to stop at the $350 million range. And we try not to use volume as an excuse. Certainly, volume is our friend and it gives us more optionality in terms of the productivity initiatives. But as we have done for many, many years and that is that we have a mindset that we're still going to aggressively go after the productivity initiatives that Lance outlined that are in front of us that we're aggressively pursuing and in spite of what the year-over-year volume is. And again, we still predict, by the way. Our guidance is that volume for the full year is going to be up in the low single-digits. So, the fact that it's, say, flattish in the third quarter year-over-year, I don't think that's going to impact or slowdown any of our productivity initiatives.
Chris Wetherbee: Okay. All right. That's helpful. I appreciate that. And then Beth maybe a question on the Coal side. So, you've given some helpful color around the third quarter. I guess I just wanted to make sure I understood how you think about sort of finishing out the year relative to what we've been hearing a little bit from the producer side within PRB coal. And if there is the ability to sort of make commitments to the extent that there's demand there in the fourth quarter depending on what weather does and stockpile do. I guess our sense is that production levels on the mine level might end up falling short of flattish in the fourth quarter. I just wanted to get your thoughts around that if you have any.
Beth Whited: Well, at this point, we haven't considered that we would have significant production shortages in the fourth quarter. And we were definitely still thinking looks flattish. I suppose it all depends on what plays out with third quarter demand and hot weather and the producers are in the place where it makes economical sense to them I would guess that they will keep producing in for that.
Chris Wetherbee: Okay. That's helpful. Thanks for the time. Appreciate it.
Lance Fritz: Thank you.
Operator: Our next question comes from the line of Tom Wadewitz with UBS. Please proceed with your question.
Thomas Wadewitz: Good morning. Wanted to ask you a little more on the Coal and Intermodal competitive pressures that you highlighted. I think -- I want to say it's maybe the third quarter last year that you first started talking about these pressures. And we have seen better Coal volumes certainly over the last couple of quarters in Coal. What you think it's a dynamic you might see for those competitive pressures ease? Is that really a function where the natural gas price is? Is it just a market price is lower for coal transport than what your book is priced at? So, it's really a multi-year headwind and repricing to market? Or how would be think about kind of the drivers that competitive pressure and how long the duration might be?
Beth Whited: It's pretty hard to make any sort of prediction about things that are happening in the competitive market when the person you're talking about isn’t yourself. So, I don't probably have any guidance to give you there. Our focus is just going to be on making sure that we're getting a reinvestable price that makes sense to us as we renew deals and go out to bid for new books of business.
Lance Fritz: Tom, this is Lance. Of course, anytime the environment improves from a standpoint of more economic opportunity for all the competition in the marketplace, more volume opportunities, anytime that's the case, that's a better environment to compete in. So, we're looking forward to that being the case at some point in the future.
Thomas Wadewitz: What about the Intermodal side? I know you had referred in the past about the turmoil with the steamships and the consolidation and obviously with content and so forth. Do you think I guess there's more activity going on, do you have any visibility of that stabilizing and maybe pricing in the international Intermodal stabilizing or is that something that's probably continues for a while?
Beth Whited: I think that the steamship lines are still shaking things out. And while I think their economics are better, I don't think they're in a situation where they're making a lot of money and maybe not even making money. So, in that environment, I think that the pressure remains for them to try to be very economically competitive in what they do. So, we'll see. I think that may take a little bit longer to shake out.
Lance Fritz: Recall, Tom that those are -- that's a moving part from the standpoint of sometimes those consolidations and partnerships benefit us and sometimes they don't. Regardless, we take that competitive landscape and compete for the business that makes sense to us from an economic return and compete aggressively for it.
Thomas Wadewitz: Great, great. Okay. And then just a quick follow-on. On the Chemicals side, what's the timing when you really see the impact from the new plants? Are you already seeing that? Or is there kind of a timeframe when that would be a bigger volume impact from the new production coming on in the Gulf?
Beth Whited: Yes, so it's going to be kind of a slow start I think. You start to see I think one or two plants really making meaningful production in 2017 and that's really pretty late in the year and with 2018 being a more significant impact.
Thomas Wadewitz: Okay, great. Thank you for the time.
Lance Fritz: All right.
Operator: Our next question is from the line of Amit Mehrotra with Deutsche Bank. Please proceed with your question.
Amit Mehrotra: Hey, thanks everybody. Thanks for getting me in here. I wanted to ask you on the outlook for the back half. You do typically see a nice step down in OR sequentially. But obviously, there's some difficult comparisons as you mentioned possible mix challenges as well. Can you just talk about the puts and takes there and maybe your confidence or the company's ability to actually lower OR sequentially against that backdrop?
Rob Knight Jr.: Yes, this is Rob. I mean we don't really get specific quarterly OR guidance. You're right. Traditionally, that's the way it plays out. There's a lot of moving parts. We'll see what mix does. It's been favorable thus far this year. We're going to continue to drive pricing as Beth has talked about. We're going to continue to be aggressive on our productivity initiatives as we've all talked about and those are the levers. And volume, we think is going to be our friend certainly in the third quarter improving from the second quarter. And we'll just have to see how the numbers play out. But again, we're confident and pleased with the progress we've made thus far this year and confident in our ability to improve the operating ratio year-over-year.
Amit Mehrotra: Okay. Maybe just if I could have a follow-up and just be a little bit more specific as it relates to maybe the Automotive business and also the Chemical business as it relates to the auto production. I mean, North American light vehicle productions expect to be down about 6% in the third quarter. I think some of that, obviously, has to do with the big three changeovers that maybe you're not as exposed to versus the eastern rails. And then if I'm not mistaken, there are significant amount of chemical carloads that are also tied to auto production. So, if you could just help us think about both the Auto and Chemical franchise in light of maybe the sharp drop off in production and maybe the impact it makes there? Thanks.
Beth Whited: So, we have seen strength in plastics this year on the PVC and PE side, which -- and PP is really the stuff that goes into auto. So, I would agree with you that there's been a little bit of an impact there. It hasn't been very significant fall off in PC, but the strength is really coming on the PVC and the PE side. And I don't think that would be something that we would probably be in a situation where we're calling out later in the year on the straight Auto side. It does feel like there's weakness there and that, that will continue throughout the rest of the year and we'll just have to see if the consumer goes back and start buying cars or not.
Lance Fritz: Bear in mind we have an opportunity still and it's a significant opportunity to penetrate further inbound truck for auto parts to auto manufacturing. There's still plenty of opportunity to convert that into Intermodal or box car product. And as the second quarter demonstrated, I think our finished vehicles were down 4%, but auto parts were up 2%. We expect to keep going after that in the second half of the year.
Amit Mehrotra: Okay. Thanks. Appreciate the questions. Congrats on a good quarter.
Lance Fritz: Thank you.
Cameron Scott: Thank you.
Operator: Our next question is from the line of Brandon Oglenski with Barclays. Please proceed with your question.
Brandon Oglenski: Hey, good morning everyone. And thanks for getting us on the call here. Lance, I wonder if you could just give your investors a little bit of confidence here because we've been hearing a lot about precision railroading and how that can drive significant improvement at one of your peers. But you guys have had some pretty significant OR targets out there for some time now. So, can you tell us -- just what are the drivers to achieve the 60 OR and then even beyond the 55. And how confident are you today versus maybe a couple of years ago?
Lance Fritz: Let's start with my confidence level, which is, it's never been higher. That's -- it's really wonderful to be speaking to your question coming off the quarter that we just had where we've demonstrated on what I would consider relatively modest volumes and ability to generate significant operating ratio improvement and productivity. So, let's talk about how we're generating that productivity. Getting just a little bit deeper on those three areas that Rob and Cam talked about. When you're thinking about the train network, what we've been doing to this point is we're taking our -- the way our plan is organized and deconstructing it by lane, looking for opportunities to grow train size while maintaining the fundamental aspects of the plan with an eye towards making sure that our customer service product is as good as it possibly can be the best in the marketplace. As we look forward, there's an opportunity to co-mingle some of those service products and we're investigating that as we speak, thinking through what does that mean from a service product perspective and from a productivity perspective. We think there's pretty good juice there. And so while we've done a great job of growing train size to this point, we think there's some incremental opportunities we look forward in our train network. When we think about how we conduct ourselves with our mechanical, our carman employees, our craft professionals in the engineering world and some of the contracting work that we do in both, there's plenty of opportunities and we've got projects in all of those areas looking for ways to take out, for instance, leased and rented equipment, contracting work that's just not high value add or can be done more efficiently and more efficiently finding ways to invest in equipment that allows us to be way more productive on labor components and have a really attractive return on that investment. And then when you think about our ability to generate more productivity on the general and administrative and support cost side of our world and inclusive of purchasing material and supplies, we've been making great progress in those areas and there's lots of opportunities to come. And we've got plans and clear-eyed opportunities there that we are developing and ultimately will be taken advantage of. So, as we sit here, the team could not be more confident in being able to achieve a 60 plus/minus operating ratio by 2019. And of course, we're going to do that as quickly as we can. And then we’re -- immediately thereafter, we're just going to keep it up on our way to a 55 operating ratio, again, as soon as we can. Another thing that gives us confidence is looking backwards at our track record. We had some fits and starts here recently, mostly driven by significant volume drops. But even in that context, we've had good solid operating ratio improvement over a very long period of time and we've demonstrated we know how to do it. We're going to keep doing it.
Brandon Oglenski: Lance, I appreciate that. How should investors think about the sustainable rates of improvement on the margin? And you did talk about growth in those comments as well. I mean how contingent is this on growth? Are there still absolute cost buckets that you think you can attack over the next couple of years that would help drive margins higher and the OR lower?
Lance Fritz: Yes. So, we talked, Brandon, about three buckets that drive OR improvement. Pure productivity whatever the volume is and we'll continue to get that price, which is related to what the value is that we're bringing to our customers and how we're competing in our markets and we'll continue to generate that and growth. Growth certainly helps and we're looking for ways in markets either new ones to penetrate, more business with existing customers, greater geographic reach, however we can maximize franchise and we have. We will be pulling the levers on all three of those areas all the time as we move forward. And it just depends on what the economy brings to us, what we're able to do as to exactly the role with each lever plays going forward.
Brandon Oglenski: Thank you.
Operator: Our next question comes from the line of Walter Spracklin with RBC Capital Markets. Please proceed with your question.
Walter Spracklin: Thanks very much. So, just following up on your -- on those three lines and going into pure productivity. You've got a long-term target there. You're kind of the mid-50s and up at around 62 now. What is the timeframe? I mean, just ballpark. Is this a two-year, three-year, five-year kind of productivity attack? Is this something that you can front end load? Are there projects that you're looking on that you're going to pull the trigger on that can really lead to a revamping of the infrastructure that you have right now that applies to the business you run? Is there anything that you can give us tangibly that we can kind of look into our models and maybe not into 2019 when you hit 60, but out within a reasonable timeframe after that to be at that mid-50s? Is there anything you can point us to?
Lance Fritz: Yes, I'm not sure I'm going to be very helpful in building up the model for you. I'll tell you we're going to get there just as quickly as we can. And as we sit here and look at the different opportunities we have in front of us, the projects that we've already got launched are the ones that we're defining prior to launch. There's plenty of opportunities and some of those might surprise us and deliver outsized productivity rapidly. And some might be a lot more pick and shovel work that takes a bit more time. I can tell you we're scanning the environment regardless of industry, whether it's other railroad peers or any other competitors or customers of ours to find ideas that we can implement in our own environment to both accelerate our productivity and to generate productivity.
Walter Spracklin: And is there anything in that scanning that might lead to a step function move? Like a complete overhaul of hump yards and slashing them -- or your hump yards in your opinion, fully utilized. Is there anything that you think that through scanning might lead to not a gradual but a step function move in your infrastructure?
Lance Fritz: Yes, we're going to learn from everything we see and observe and deconstruct it and see if it makes sense for our network and our franchise. I'll just remind you that on our network and franchise, we have a very robust manifest product that requires a fair amount of car switching and our lowest cost car switching for us happens to be in our highly utilized hump yards. So, at this point, as we look forward, I'm not so sure you're going to see a lot of change in that area. Plus you might see change in other areas like how we define our networks and products and perhaps the co-mingling of some of our service products so that we can both generate a better service product for our customers and more productivity for our shareholders. Bear in mind that we've got four stakeholders and we're serving them all at the same time; our customers, employees, the communities that we serve in; and you, our shareholder.
Walter Spracklin: Moving on to this other bucket, which is pricing. Now you've noted that you kind of excluding some of the problem areas in coal and others, you are booking 2% to 3% price, which is great. In the problem areas, do you tend to be -- you're going to be affected by contracts that have been signed that would probably have some long length to them. Two questions on that. When do those start coming off, the ones that are keeping your pricing down in those problem areas? And at this point, are you booking new contracts in those problem areas above that depressed level in prior periods?
Beth Whited: So, I don't think we're going to give any real guidance on past or future pricing in specific contracts. But I would tell you is the competition is as fierce today in Coal and Intermodal as it has been over the last, I guess, we've been talking about this for about a year. So, that's kind of where we are.
Walter Spracklin: Okay, that's helpful. Thanks very much.
Lance Fritz: Thank you.
Operator: The next question comes in the line of Justin Long with Stephens. Please proceed with your question.
Justin Long: Thanks and good morning.
Lance Fritz: Good morning.
Justin Long: So, you said earlier that Coal volumes should be about flat year-over-year in the third quarter. And that translates into a sequential improvement of about 20% in Coal volumes. And that's really all the sequential improvement you need to get for consolidated volumes to be flat on a year-over-year basis in 3Q. So, I guess saying it another way, it basically implies that non-Coal volumes stay flat sequentially. With that in mind, could you just give some more color on non-Coal volumes sequentially? And what's you're expecting to get better and what you're expecting to get worse in 3Q?
Lance Fritz: Rob, you want to take the guidance part of that, please?
Rob Knight Jr.: Yes. Justin I would just say you may be taking two fine slide role to the -- what we talked about. Coal, we're giving some of a directional comment on our overall volumes and on Coal. I wouldn't take that as literally as you have because the factors that will drive coal demand will continue to be gas prices, weather, economy, I mean, all those factors that could change exactly with the cadence is in the third quarter. So, I mean our other -- so our guidance, again, to Lance's point, our guidance all-in is kind of flattish. It could be either side of that. We'll see. We want to be as high as possible, but flattish year-over-year with sequential improvement from here.
Lance Fritz: And Beth you want to just maybe talk a little bit about other markets and what's going on?
Beth Whited: Yes. So, there will be ins and outs in all other markets. There always are. I just remind you Ag was pretty strong last year and -- so the third quarter is a tough comp for that and all the other markets are going to continue to evolve as we move through the quarter. But as Rob said, we expect to be flattish.
Justin Long: Okay, that's helpful. And then maybe secondly, Kansas City has talked a lot about the refined product opportunity in Mexico and it sounds like those shipments have ticked up in the second quarter for their business. Do you see this as an opportunity for your network at all or just from a geographic standpoint, is this not really a needle mover?
Beth Whited: It's a small and emerging market for us right now. We are doing a reasonable amount of traffic. I wouldn't call it substantial amount of traffic and finish fuels into Mexico both in partnership with KCSM and with the Ferromex. And we were probably a big mover early into the LPG space. And we are still seeing a lot of propane moving into Mexico. The finished fuels have been a little slower to take off because there's not a lot of terminal infrastructure in Mexico to handle them. But we see it as a reasonable opportunity over the period until more infrastructure is built in Mexico.
Lance Fritz: Justin, I would remind you and all of our listeners at this point, we enjoy robust franchise to and from Mexico because we serve all six major rail gateways. We enjoy about 70% of all rail cross-border traffic to and from Mexico. So we will get our fair share.
Justin Long: Okay, great. I'll leave it at that. Appreciate the time.
Lance Fritz: Thank you.
Operator: The next question comes from the line of Keith Schoonmaker with Morningstar. Please proceed with your question.
Keith Schoonmaker: Hi. I'd like to ask a question on your model. In your presentation, you mentioned parcel growth. I don't know that was a unit called out a lot in the past but as a driver for the quarter. Could I ask just in the elaboration on this, the broadly how material are parcels to your franchise? It's trending upward rapidly in line with B2C and downline fulfillment. And can you elaborate maybe challenges or investments you've had to make to serve this?
Beth Whited: Yes, so we think about our business in domestic and international, and then within the domestic space, it's kind of truckload and premium and parcel would fall into that premium segment and we have seen some nice growth in it. I think a fair amount of that is being driven by e-commerce. And so that's enabled us to participate in that, and it's been pretty exciting for us. In terms of investments that we've had to make to support it, we've been able to utilize to a pretty significant extent the facilities that we already had in place for Intermodal shipments and we also do support it from time-to-time with additional train starts if that investment makes sense for us. So, that's where we are at this point. It's been a fun market for us to watch emerge.
Keith Schoonmaker: Good. Thank you, Beth. As a follow-up, my second question, I guess, maybe this is for Cameron. A lot of times when you see a big volume influx like we've seen last couple of quarters in coal or this quarter in international -- in industrial products it's -- can compromise margins, yet you've handled it pretty deftly and actually set records in margins. Is this simply more train starts you had available locomotives and personnel furloughed? Or maybe you could elaborate on some of the challenges in bringing that volume on so rapidly?
Cameron Scott: It is always our stated objective to take Beth's volume and layer it on top of our current train start network. And as I mentioned before, there is lots of headroom in almost every train category that we have to continue to do that. The coal marketplace for us in train size is fairly optimized. There are still opportunities but it is fairly optimized. So, really in stepping up to the plate with beautiful volume growth from Beth in Coal is making sure we're matching appropriate manpower planning and locomotive planning to handle the volumes as they come online. And I think we've accomplished that very nicely here in the second quarter.
Keith Schoonmaker: Probably industry is a lot more complex than coal, many more destinations and origins than somewhat repeatable business in the coal franchise though. Would just simply having ample capacity to add lengths to trains, Cam?
Cameron Scott: Yes, it is. And you are correct. That does become very complex very quickly. And our service design team and our network planning team has done a very nice job, whether it's a regional opportunity or a big system network opportunity to take that growth and layer it right on top of our current program.
Keith Schoonmaker: Thank you.
Operator: Our next question is from the line of Jeff Kauffman with Aegis Capital. Please proceed with your question.
Jeffrey Kauffman: Thank you very much. A lot of my questions have been answered. So, let me just ask one on utilization. I think we understand a lot of the factors that impacted the West Coast flow through in terms of terminal dwell and average train speed. You briefly mentioned it in your comments today. Can you talk about where you're in getting that to the levels you want to? And at what point do you think we start to see more positive year-over-year comps in those two areas?
Lance Fritz: Cameron?
Cameron Scott: You're absolutely right. In the first quarter, with the Western region impact, we took a pretty substantial hit on both velocity and car dwell. Largely, that velocity in the Western region has returned to us. It's been a little -- taken a little bit longer for us to recover in the Western region than we anticipated, but we feel confident in the second half that Western region will start delivering the extra velocity and improved internal performance that we expect out of them. The Southern region, as I mentioned, has a bridge outage that will be resolved here in a week. They also have very heavy renewal capital programming. So, it makes it a complicated network down south. As soon as we get that bridge back in service, we anticipate the southern region will come right back to anticipated velocity as well.
Jeffrey Kauffman: One follow-up to that. I could be wrong on my statistics here. But I seem to remember when the weather gets below a certain temperature, you got to slow trains down because rails get brittle. When the weather gets above a certain temperature, you got to slow trains down because the track gets soft. We've had some pretty extreme weather this quarter, particularly in the South and Southwest. Is any of that impacting the system? And can you discuss whether I'm off target on that?
Cameron Scott: No, you are correct. Heat orders are applied when we reach certain temperature thresholds and it has been a nice warm summer. About the only area of our business where that becomes impactful is when you're looking at high-premium intermodal product. That does tend to retard the maximum train speed that you'd like to run when it comes to that high-premium Intermodal product. The rest of the network is largely unaffected by those heat-slow orders.
Lance Fritz: Hey Jeff, the other aspect of heat is, we're in the outdoor business. So, we really got to help our craft professionals kind of watch their health when it gets to temperatures like we're in right now. And that can slowdown work to some degree because they've got to make sure they take breaks. They got to get out of the heat, be able to keep their body temperature reasonable. And you can just imagine working eight or 10 or 12 hours in the kind of environment we have now. That can have an impact on an individual's productivity.
Jeffrey Kauffman: Okay. Well, thank you for your answers and good luck.
Lance Fritz: Thank you.
Operator: The next question comes from the line of Bascome Majors with Susquehanna International. Please proceed with your question.
Bascome Majors: Yes, thanks for fitting me in here this morning. The operating cash flow was down about 2% year-to-date on mid-teens growth in net income. Could you just walk us through if anything there is timing related? And kind of how you expect that to shake out in net income for the full year? And then maybe a similar comment longer term. Do we expect to grow cash flow in line? Maybe a little better than or a little worse than net income over time? Thanks.
Rob Knight Jr.: Yes, Bascom, there was a timing issue with when you look at year-over-year. You're right; the reported numbers show it down. There was, call it, $400 million year-over-year delta on the bonus depreciation. And that is kind of front-end loaded for this year. So, we'll see how it kind of plays out for the balance of the year. But longer term, our goal is to continue to drive that number positively, clearly. And we have every expectation that given all of the productivity initiatives we have underway that, that will be a very strong base.
Operator: Thank you. This concludes the question-and-answer session. I will now turn the call back over to Lance Fritz for closing comments.
Lance Fritz: Thank you very much. And thank you all for your questions and interest in Union Pacific. We look forward to talking with you again in October.
Operator: Thank you. Ladies and gentlemen, thank you for your participation. This concludes today's teleconference. You may disconnect your lines and have a wonderful day.